Operator: Thank you for standing by. My name is John, and I will be your conference operator for today. At this time, I would like to welcome everyone to the SS&C Technologies Third Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Justine Stone, Head of Investor Relations. Please go ahead.
Justine Stone: Hi, everyone. Welcome and thank you for joining us for our Q3 2024 earnings call. I’m Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Brian Schell, our Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, October 24, 2024. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today’s call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today’s earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
Bill Stone: Thanks Justine, and welcome everyone. Our third quarter results are record adjusted revenue of $1,466.8 million, up 7.3%. Our adjusted diluted earnings per share were $1.29, up 10.3%. We also reported record adjusted consolidated EBITDA of 566.2 million with 38.6% EBITDA margins. Our third quarter adjusted organic revenue growth was 6.4%. This growth was driven by strength in our Alternatives, GIDS, WIT and Intralinks businesses. The surprise upside came largely in our GIDS and WIT businesses, accelerated license revenue in the Wealth and Investment Technologies business and non-recurring professional services fees in the global investor and distribution solutions business. Global Investor Distribution services business drove the outperformance. Our recurring revenue growth rate for financial services was 7.2%, which includes all software-enabled services and maintenance revenue. Third quarter cash from operating activities was $336.6 million, up 39% from Q3 2023. Our cash flow conversion percentage from the quarter was 103%. We bought back 1.2 million shares for $89.4 million at an average price of $72.72 per share. [Indiscernible] high quality acquisitions, we continue to believe share repurchases are the best capital use. In September, we closed the $670 million Battea-Class Action Services acquisition. Battea meets our financial criteria, about $95 million in annual revenue, growing high single digits and 45% plus EBITDA margin. This acquisition will immediately accretive to earnings. Battea’s offering is synergistic with our fund administration business and we’re already making progress cross-selling. I’ll now turn this call over to Rahul to discuss the quarter in more detail.
Rahul Kanwar: Thanks, Bill. We had another strong quarter with organic revenue growth of 6.4%. The wealth and investment technology business unit grew 10.9% for the quarter. The reorganization from earlier in 2024 has brought development teams together and we’re currently integrating the capabilities of our Aloha solution into the new Genesis platform. This will accelerate our ability to deliver the deepest set of cloud native front-to-back technology to the investment management market. The Black Diamond Wealth Platform has reached a major milestone with the rollout of advanced grouping functionality. This initiative enables Black Diamond advisors to further personalize their client reporting and compete effectively in the alternative asset reporting space for RIAs and family offices. Our Global Investor and Distribution Solutions business had another strong quarter and in addition to new business wins, we have brought in additional revenue through special projects at our largest clients. Healthcare industry is facing higher than expected utilization and rising costs for Medicare – and Medicare advantage. SSNC is poised to support our healthcare clients and prospects through these headwinds. With the integration of our DomaniRx platform, automation opportunities and liftouts, we can reduce the operating costs for health insurers over time. Q4 is off to a strong start for SSNC health. We signed two large license deals for about $8 million in revenue at the beginning of October that will push from Q3. Our internal automation efforts are progressing as well. Since acquiring Blue Prism in 2022, our total revenue has grown about $600 million and our headcount is down. For 2024 year-to-date we estimate a benefit of approximately 1,050 full time equivalents thus far in the year because of rolling out Blue Prism digital workers as well as automating and optimizing existing processes. We’ll now turn it over to Brian to run through the financials.
Brian Schell: Thanks, Rahul, and good day everyone. As noted in our press release, our Q3 2024 GAAP results reflect revenues of $1.466 billion, net income of $164 million, and diluted earnings per share of $0.65. Our adjusted non-GAAP results include revenues of $1.467 billion, an increase of 7.3% over Q3 2023, and adjusted diluted EPS of $1.29, a 10.3% increase over Q3 2023. The adjusted revenue increase of $100 million over Q3 2023 was primarily driven by incremental revenue contributions from the WIT alternatives, GIDS and Intralink businesses. Acquisitions contributed $8 million with about $4 million attributable to Battea, and foreign exchange had a favorable impact of approximately $5 million. As a result, adjusted organic revenue growth on a constant currency basis was 6.4%. Our core expenses increased 6.8% or $58 million excluding acquisitions and on a constant currency basis. Adjusted consolidated EBITDA was $566 million or 38.6% of adjusted revenue, an increase of $32 million or 6% from Q3 2023. Net interest expense for the third quarter of 2024 was $110 million, a decrease of $11 million from Q3 2023. Adjusted net income was $327 million, up 10%, and adjusted diluted EPS was $1.29, an increase of 10.3%. The effective tax rate used for adjusted net income was 26%. An increase in the average share price drove the diluted share count up to 254.1 million from 252.3 million at Q2 ‘24. SSNC ended the third quarter with $694.7 million in cash and cash equivalents and $7.2 billion in gross debt. The higher-than-normal cash balance reflects opportunistic borrowing that will be deployed during the fourth quarter. SSNC’s net debt, as defined in our credit agreement, which excludes cash and cash equivalents of $159 million held at DomaniRx was $6.7 billion. Our last 12-month consolidated EBITDA used for covenant compliance was $2,279 billion. Based on net debt of approximately $6.7 billion, our total leverage ratio was 2.9 times. As we look forward to the fourth quarter and the remainder of the year with respect to guidance, note that we will continue to focus on client service and assume that retention rates will remain in the range of our most recent results. We will continue to manage our expenses with a cost disciplined approach by controlling and aligning variable expenses to ensure efficiency, increasing productivity to improve our operating margins and leverage our scale and create capacity and effectively investing in the business through marketing and sales and R&D to take advantage of future growth opportunities. Specifically, we have assumed foreign currency exchange and interest rates to remain at current levels. A tax rate of approximately 26% on an adjusted basis, which is unchanged from prior guidance, capital expenditures to be 4.1% to 4.5% of revenues, which is also unchanged from prior guidance, and a stronger weighting to share repurchases versus debt reduction, subject to changes in market conditions or financing needs. For the fourth quarter of 2024, we expect revenue to be in the range of $1.46 billion to $1.5 billion and 2.4% organic revenue growth at the midpoint; adjusted net income in the range of $329 million to $345 million; interest expense, excluding amortization of deferred financing costs and original issue discount, in the range of $110 million to $112 million; diluted shares in the range of 254.6 million to 255.6 million; and adjusted diluted EPS in the range of $1.29 to $1.35. For the full year 2024, we expect revenue to be in the range of $5.815 billion to $5.855 billion and 4.9% organic revenue growth at the midpoint; adjusted net income in the range of $1.299 billion to $1.315 billion; diluted shares in the range of 253.6 million to 253.8 million; adjusted diluted EPS in the range of $5.12 to $5.18; and cash from operating activities to be in the range of $1.33 billion to $1.37 billion. And now back to Bill.
Bill Stone: Thanks, Brian. We feel our business is strengthening and we were able to expand our horizons. The Battea purchase is already showing very positive signs. Our Deliver client conference was a great success and I would like to thank David Rubenstein for being our keynote speaker. I will now open it up for questions.
Operator: Thank you. Ladies and gentlemen we will now begin our question-and-answer session. [Operator Instructions] Your first question comes from the line of Jeff Schmitt from William Blair. Please go ahead.
Jeff Schmitt: Thank you. Could you discuss the market opportunity for DomaniRx? Just because I think the top three players in that space handle maybe 70% or 80% of prescription claims, I think. And you’ve just mentioned before, you don’t plan on kind of focusing on that group that much. So how big is sort of the remaining market opportunity from a revenue perspective? And then how are kind of those early conversations going?
Bill Stone: Yes. We would say you’re right, it’s probably about 70%, 80% is what the UnitedHealthcare, Aetna, CVS, and Cigna, and Express Script process. I think there’s something like five billion to six billion scripts a year in the United States. So, if you take 20% of six billion, you got 1.2 billion and if you take 30%, you get 1.8 billion. Right? So, that’s a lot of scripts. So, we think we have a lot of run room. We also think that we can license our technology maybe to one of those three or maybe more. And we also have a large number of others that are like us or like the big three but a lot smaller, so they might do 200 million, 300 million scripts rather than the 1.5 billion scripts. So we think there’s plenty of run room. We think there’s a lot of things in healthcare that need help with. And so pharmacy claims is one, but there are other things like medical claims and other things that we think we’re well-positioned to be able to help the healthcare industry.
Jeff Schmitt: Okay. Great. And then just on the Trust Suite business, I think you’ve mentioned it last quarter but it’s the InnoTrust combination. Could you discuss kind of the size of that business and the type of growth you’re seeing there? How does that stack up versus competitors like an SEI’s [ph] product?
Bill Stone: Yes. I think the Trust Suite product really does take, the InnoTrust product and Black Diamond and really creates a very pleasant user interface and a lot of capability with technology that is pretty state-of-the-art. Most of the trust systems out in the marketplace today are multi-decade old, and we think that we have a lot of run room and we’ve been pretty pleased with the acceptance rate of Trust Suite.
Jeff Schmitt: Any sense just on the size of that business today from a revenue perspective or in the growth or...?
Bill Stone: Well, it’s still a little nascent, but we would expect it to do probably in 2024 upwards to $10 million in revenue. And then in 2025, we would expect to see perhaps a multiple of that.
Jeff Schmitt: Got it. Okay. Thank you.
Operator: Your next question comes from the line of Surinder Thind from Jefferies. Please go ahead.
Surinder Thind: Thank you. Bill, can you provide maybe any color on the outlook for 4Q in terms of the slowdown in the organic growth rate that’s implied? And then is there some – maybe some licensing noise or licensing deals and things like that or how should we think about 4Q number?
Bill Stone: Yes. I think the major thing with Q4 in 2024 compared to 2023 is Q4 of 2023 was substantially better than any of the other quarters in 2023. So we’re kind of getting a little bit of a comp challenge to us. And we have a big pipeline. We have a lot of stuff going on. We’re always cautious. We’ve had three or four pretty good quarters in a row and we expect Q4 to be a pretty good quarter, too.
Surinder Thind: Got it. And then in terms of the follow-up, just obviously, a lot of news in the healthcare space with potentially Cigna and Humana back in merger talks, some weak results out of Elevance and some other things. What’s the potential impact or is there any read-through there? Are things something that we should be aware of related to DomaniRx?
Bill Stone: No. I think, as Rahul spoke earlier, we got a pretty big uplift in revenue for healthcare in October, stuff that had pushed from September. I still think we have a great opportunity here. DomaniRx is really new technology, that there’s nothing like it out in the marketplace that can handle scale. A lot of people that used our RxNova system considered it the gold standard for Medicare and Medicare Advantage already, and DomaniRx is far exceeding RxNova’s capabilities.
Surinder Thind: So Bill, I guess, just to clarify, is the commentary there that there shouldn’t be any strategic impact on the relationship there that you have? Or I guess, that’s what I was trying to get at rather than the actual near-term business.
Bill Stone: You mean Humana and Cigna?
Surinder Thind: That is correct, yes.
Bill Stone:
.: So we think there’s plenty of opportunity for us. Whatever happens with Humana, Cigna, we think it will be positive towards us. And lots of stuff is happening in healthcare as Rahul had alluded to before, and we just have to play it out. But everybody is concerned about their health. People are not going to stop spending money on their health, and we think it’s a very good spot for us to be in.
Surinder Thind: Thank you, Bill. That’s helpful.
Operator: Your next question comes from the line of Andrew Schmidt from Citi. Please go ahead.
Andrew Schmidt: Hey, Bill. Hey, Rahul. Hey, Brian. Thanks for taking my questions this evening. I wanted to just maybe ask a question on 2025. I know it’s a little bit early but you do have the 4% to 8% medium-term organic growth outlook out there. Wondering if 2025, if you think about it within the context of that, if it’s shaping up similar to the medium-term? And then if you could just talk about maybe the pipeline or the sales cycles accordingly. Because I know, obviously, there’s a lot of work that’s done in advance to hit those targets. So if you could comment on just your visibility there in terms of what you’re seeing in the pipe, that would be great. Thanks a lot.
Bill Stone: Yes. I think that we have – I think our salesforce is the strongest it’s been, so we have a lot of people out there banging on doors and we have a lot of capable people. We have tremendous number of opportunities all over the world. You got to win, right? And then you got to get them live so the revenue streams in. But I would say that we’re pretty bullish on 2025. And we have the resources, we have the cash. We have access to markets. We’re really excited about the cross-sell opportunities with Battea. I think that we have an opportunity to surprise you positively.
Andrew Schmidt: Got it. That’s great to hear, Bill. Very constructive. And then if I could just ask about R&D. I think one of the highlights at the Analyst Day was just the breadth of the product pipeline. It’s bigger than I’ve seen in some time. Has there been a shift towards more spend on organic R&D? Obviously, with the step-down in M&A and more focus on organic growth, it would make sense. But I’m just curious about just the philosophy in terms of new product R&D spend. Thank you very much.
Bill Stone: Yes. Why don’t I – I’ll give you a little answer and I’ll let Rahul kind of get in a little deeper. But if you notice on our percentage of CapEx, we’re at 4.1% to 4.5%. Historically, we’ve been at 3%, 3.5%. So we have poured a lot more money into R&D, and our CTO, Anthony Caiafa, he’s gotten a little older. He’s 38 so he knows how to spend faster so we think that, that will probably continue. Rahul?
Rahul Kanwar: The thing I would add to that is as we have organized our business increasingly effectively, right, and had more and more products and services pointed at specific segments of the market or specific types of customers, what we need to build has become increasingly clearer. So we get a lot of good feedback from our sales force. We get a lot of good feedback from the folks covering those accounts. And a lot of times, we can get anchor clients and folks that want to partner with us on funded development, which then results in revenue a lot faster. So it’s easier to back those kinds of things and that’s part of the positive dynamic that’s going on.
Andrew Schmidt: Got it. Thank you very much.
Operator: Your next question comes from the line of Dan Perlin from RBC Capital Markets. Please go ahead.
Dan Perlin: Thanks. Good evening. I just want to revisit the fourth quarter organic number again. Sorry, maybe to beat a dead horse here. But like the 2.4% versus the 6.4% you did this quarter and I went back and just was looking at your comps, so it’s definitely easier across some of them but by no means all of them. So that 400 basis point deceleration, is there any way you can just help kind of contextualize maybe the areas where we should be focused on that as we think about modeling across those segments? And then in that same kind of question, Bill, I thought I heard you say there was maybe some bigger license fees that you pulled into this quarter around Wealth and Investment. And did that influence maybe this kind of fourth quarter, I guess, guidance around the organic number as well? Thanks.
Bill Stone: Yes. Again, I’ll give you a little, Dan, and I’ll have Rahul maybe a little bit more or Brian in. We did have a really good Q3 for wealth and investment technology and the global investor and distribution services business. So we’re not quite ready to see if they can repeat that in Q4, although we’re optimistic they’ll have good quarters. So I think that’s a little bit. And then as I said before, I think the comp is a little more difficult in Q4 than it was in Q3.
Rahul Kanwar: Yes. And Bill, I would just add on that last point on comp, if you look at the 2023 by quarter, first three quarters, we did about $1.360 billion in each quarter, right, approximately. And in Q4, we did $1.411 billion. So Q4 was $45 million to $50 million higher than the other three quarters and that’s really what you’re seeing. If you kind of look at our Q4 guidance in absolute numbers, we’re ahead of any other quarter this year. Our low point is $40 million ahead of our low point the prior quarter. So we feel good about where we are. Most of this is a comp issue.
Dan Perlin: Got it. Okay. No, that’s really helpful. That’s really helpful. Thank you. Just on Blue Prism for the moment in terms of cost opportunities, and I think you said you’re like, I don’t know, a little over 1,050 maybe kind of automated employees. Like where – how much further can we go with that? Are you expecting that to continue to be a meaningful contributor to the ability to have a more efficient cost structure as you go into next year? Or are we kind of top ticking that a little bit for the organization? Thank you.
Bill Stone: Yes, Dan, I think that’s a great question and I think we are pretty enthusiastic about where we can go with our Blue Prism digital workers. Brian could get into it more deeply. But we’ve done an awful lot of acquisitions so we have an awful lot of systems. We like to have fewer systems and more digital workers. And I know we have plans to do that throughout accounting and finance, and Nick Wright in the global investor and distribution services business has done a great job of deploying digital workers and Bhagesh Malde in our fund administration businesses as well as many others. And so we’re pretty optimistic, I think, on Blue Prism’s capabilities.
Dan Perlin: That’s great. Thank you very much.
Brian Schell: I was just going to add to that, that just across, I’ll call it, more infrastructure to Bill’s point, right? So we don’t want to create the digital worker for 10 different systems and then be able to have to rebuild. So we’re leveraging that, the broader consolidated system. And so to echo Bill’s point, we are pretty enthusiastic about what we’re going to be able to leverage. And then the other point that we’ve made on prior phone calls is that I think the level of sophistication continues to increase over time as well about the impact that some of the digital workers can have as we mature as an organization and our learnings continue to increase about how to utilize the digital workers.
Bill Stone: But we also are integrating – we’re integrating AI into this, too, its large language models and other things are also enhancing Blue Prism’s capabilities.
Dan Perlin: All right. I want to say thank you for the last time, but I never really wanted to touch it off. That was my mistake so my apologies.
Operator: Your next question comes from the line of Kevin McVeigh from UBS. Please go ahead.
Kevin McVeigh: Great, thank you. Brian, I think you may have mentioned that you were carrying a higher-than-expected cash balance that you expect to deploy in Q4. Would that be a kind of capital return, M&A? Just any thoughts around that?
Brian Schell: Yes. I wouldn’t necessarily assume M&A on any material size for Q4 as far as I’m seeing around that purposes. But we are – like I said, we took an opportunistic point of view on the funding, given where rates were and what we were able to raise that at versus our current cost structure. So we’re looking to, again, effectively deploy that share repurchase in combination with the rest of our operating cash flow and further debt reduction, again, utilizing that lower cost of funds, we’ll have executed that in Q4.
Kevin McVeigh: Got it. And then just obviously, the organic growth was really strong, but it sounds like there were – was it $8 million in total health care licenses that were pushed? So is the way to think about it would have been that much stronger if that was in there and now that could shift it to Q4. Is that right?
Brian Schell: That’s right.
Kevin McVeigh: Thank you.
Operator: Your next question comes from the line of Peter Heckmann from DA Davidson. Please go ahead.
Peter Heckmann: Hi good afternoon. Thanks for taking the questions. As regards Battea, I understand or at least I inferred from a comment you made at the Investor Day that, that revenue can be somewhat project-oriented. I guess how should we think about modeling that? Is there something to think about in terms of seasonality? Or is it just to kind of look to you guys in terms of one quarter out in terms of how you expect that business to contribute?
Bill Stone: Yes. I think, first of all, it’s interesting you call class action lawsuits projects. We would tend to call them lawsuits. And so you’ve got the vagaries of the court system. But I think additionally, there is some seasonality in Battea and Q4 tends to be the largest quarter of the four quarters. And there’s a bunch of court cases that have already been adjudicated. The courts have to release the payments on the class actions and that’s when we get paid. But we’re – we would say that we’re going to try to give you all as much insight into Battea as we can. They have 900 clients, we have 22,000. We think there’s an opportunity for a lot of extension in the Battea’s business.
Peter Heckmann: Okay. That’s fair, that’s fair. And then just in terms of thinking about the fund shareholder recordkeeping business and some of the acceleration, I guess I had speculated just looking at money market flows that the industry may have gotten a number of several million accounts just from flows back into money market accounts . Do you think that affected the GIDS’ organic revenue? And if so, is there a way to quantify it?
Rahul Kanwar: I think most of our strength in the GIDS organic revenue is really just coming from as we’re building technology, we’re attracting more and more customers and maybe customers that are in slightly different segments then. So we have many more wealth management firms, which some of our biggest clients are wealth management firms, but we’ve got a number of new prospects. And as we continue to build out our call center capabilities and BPO capabilities, more and more of these customers are willing to lift out internal functions and give them to us and that’s a part of it. So while the macro trends in the market may have had some impact, most of it is just us expanding our product suite.
Bill Stone: It also, too, I think, would be important for people to understand that an awful lot of the large-scale financial firms in the United States and more so even around the world have a very difficult time deploying large-scale new systems. So their choices are to try to build a great big system, maybe go to a body shop, Indian body shop like a Tata or an HCL or an Infosys or one of the other ones, that is fraught with challenges. And an increasingly attractive solution for them is to lift it out to us. We have world-class data centers. We have world-class developers. We have world-class processes. And I think as they see it, they get increasingly intrigued.
Peter Heckmann: Okay, that’s helpful. I appreciate the color.
Operator: Your next question comes from the line of James Faucette from Morgan Stanley. Please go ahead.
Mike Infante: Hey, it’s Mike Infante on for James. Thanks for taking our questions. I just wanted to follow up on some of the comp commentary again. There’s obviously a wealth of variance factors as we think about 2025 organic growth. But given the comps will get progressively tougher, at least relative to the 4Q 2023 comp as we progress throughout the year, how should we be thinking about some of the drivers that can push you to the midpoint or beyond next year? Thanks.
Rahul Kanwar: In general, I think I would just come back to, we feel like our business is strengthening, right? So we do have – we haven’t been through the 2025 revenue planning and budgeting processes yet. But we do feel like you can kind of look at our recurring revenue, financial services as a sort of a leading indicator that the stable reoccurring and recurring revenue base is continually growing and that ought to help us in 2025.
Bill Stone: The other thing is, if you look at Q3 of 2024 compared to Q3 of 2023, we added $100 million in revenue. So people look at these fintech companies and talk about them. They did $200 million in revenue for a year. We added $100 million in Q3. And I think – we’re not saying that our business is strengthening because we think we’re going to slow down. We think we’re going to accelerate. Look, the deals are bigger, the size of the organizations are bigger, the size of the number of people that we would absorb are higher. So with all of that becomes some increased analysis, increased negotiation on contracts. And so we’re being cautiously optimistic, but we’re not backing away from the midterm 4% to 8%.
Mike Infante: That’s clear. Maybe just on Blue Prism. Obviously, a lot of internal expense savings in the form of lower headcount. But I’d be curious to hear just how you’re thinking about how the net new opportunity for Blue Prism has evolved from late and some of the initiatives that you have in place to return that business to double-digit growth next year? Thanks.
Bill Stone: Yes. We think that’s a great question. We are doing a lot internally here. We have some management changes we’ve done. We’re accelerating our amount of money that we are pouring into Blue Prism. We’ve moved some really top technologists that Anthony had brought in. So we’re excited about what we can do with Blue Prism and reaccelerating the growth. Again, we’re still getting Magic Quadrant when people analyze it. And I think the addition of AI and the large language models and then obviously, OpenAI is going to be all the more change in the world. But you got to be on top of it. And I think we’ve done a pretty good job of really maximizing the potential internally on Blue Prism and then we’re going to redouble our focus on the external opportunities.
Mike Infante: Thanks, Bill.
Operator: Your next question comes from the line of Alexei Gogolev from JPMorgan. Please go ahead.
Ella Smith: Hi, this is Ella Smith from Alexei’s team. Thanks so much for taking our question. So first, I was hoping you could speak to the strong growth in alternatives AUM. Can you remind us what’s driving that strong growth year-to-date and how do you think about the forward growth of alternatives?
Bill Stone: We think primarily the strong growth in alternatives based on brilliant management. Other people might think it’s – the market is pretty strong, right? And the hedge fund industry traditionally has pretty good risk-adjusted return levels. And I think as you look at our client base, almost all the large-scale platforms are SSNC clients. And over the last several years, they have gotten the lion’s share of all the new capital that have flowed into hedge funds, same with private equity funds and now private credit. So we think we’re well positioned to continue to be a beneficiary of our clients’ success. And so we have a lot of focus on making sure that we’re adding value, bringing out new technologies, new capabilities, new processes, and then being able to really help like our international clients as they move to T+1. In the U.S., we’re going to move to shorter than T+1, right? When you look at the Gen Xers, they’re used to Venmo. I don’t think moving money takes 24 hours, right? So I think those kinds of things are going to be shorten. Obviously, that takes a lot of the risk out of the system, but systems that process that have to be really locked and loaded in it. That’s something we’re pretty good at.
Ella Smith: That makes a lot of sense, Bill. Thank you. And for my follow-up, I’m sorry if I missed this, but I noticed the strong step-up in organic growth for Wealth and Investment Technologies. Could you please remind us what drove that? Was there a big deal or two signed there?
Bill Stone: Really big. No, we did have a strong Wealth and Investment Technologies, we’re up 10.9%, I believe. And we’ve got a couple of large license deals in Q3, and that really helped drive the organic revenue growth.
Ella Smith: Got it. Makes sense. Thank you all so much.
Operator: As there are no further questions at the queue at this time, I would now like to turn the call back over to Bill Stone for closing remarks.
Bill Stone: Again, thanks, all of you, for being on the call and thank the analysts for asking really pointed questions which we appreciate. I do think that we’re pretty optimistic about where our business sits and that we hope to talk to you again in 2025 and surprise you positively. Thanks.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.